Operator: Ladies and gentlemen, thank you for standing by and welcome to A.H. Belo Corporation’s fourth quarter and full year financial results conference call. (Operator’s instructions) I would now like to turn the conference over to our host, Ms. Maribel Correa, Director, Investor Relations; please go ahead.
Maribel Correa: Good afternoon and thank you for joining AHC’s fourth quarter and full year conference call. We issued a press release today announcing the company’s fourth quarter and full year 2008 financial results. This release has been posted on our web site at ahbelo.com. Robert Decherd, our Chief Executive Officer and Ali Engel, our Chief Financial Officer will lead today’s call. Executive Vice Presidents Jim Moroney and Skip Cass are available for Q and A. Before we begin, let me note that our discussion will include forward-looking statements. Forward-looking statements are subject to risk, uncertainties, and other factors that could cause actual results to differ materially from those statements. Additional information about these factors is detailed in the company’s press releases and publicly available filings with the FCC. Also we mention non-GAAP financial measures during the conference call. AHC management believes that non-GAAP financial measures provide useful supplemental information to assist in determining performance comparison’s to our peers. Reconciliation to the most directly comparable financial measures presented in accordance with GAAP, are provided on our web site at ahbelo.com under the Investor Relations section. I would like to now introduce Robert Decherd.
Robert Decherd: Thank you Maribel and good afternoon everyone, 2008 was a year full of change and challenges for the newspaper industry driven by the economic environment not seen in modern times. Despite these conditions the combined efforts of our corporate management team, operating company leadership and every AHC employee enabled A.H. Belo to make significant strides in expense management while increasing the reach of our products to advertisers. Expense reductions enabled us to stabilize EBITDA and expanding the reach of AHC’s products allowed us to provide advertisers more options to influence valuable audiences as they adapted to changing consumer needs. We previously stated that our goal was to implement $50 million in expense reductions by the first quarter of 2009. Excluding special items that include costs related to the 2008 voluntary severance program, reduction in force, and noncash future pension obligations, operating expense declined $45 million for the full year 2008 versus the prior year. We have streamlined the business and are now converting fixed costs to variable costs wherever possible. A.H. Belo diversified its product offerings in 2008 with several niche products, in August The Dallas Morning News launched Briefing, a free home delivered condensed print news product that leverages existing resources and targets non-subscriber families who are interested in local news and information. Briefing added $1.2 million in incremental revenue in the fourth quarter and $1.7 million for the full year 2008. Briefing’s lower then expected single-digit opt out rates are encouraging in the early going of this product launch. The Dallas Morning News uses [FD Lux] a high-end fashion and lifestyle publication experienced growth in the fourth quarter and for the full year of 2008. Advertising revenue for FD Lux increased 15% in the fourth quarter and 16% for the full year. The Dallas Morning News tripled the distribution of its free Spanish language newspaper, Al Dia, on Wednesdays and Saturdays to increase effectiveness for preprint advertisers and we recently eliminated the other four publication days. La Prensa, the equivalent of Al Dia in Riverside, experienced a revenue increase of 26% in the fourth quarter and 13% for the full year. During 2008 AHC added printing and/or distribution contracts in all three of its locations. We have print and/or distribution contracts with companies such as The New York Times, USA Today, and The Wall Street Journal. These contracts contributed more then $12 million in revenue in 2008. AHC’s circulation revenue increased 12% in the fourth quarter and 9.5% for the full year compared to the prior year. The increase in circulation revenue in the fourth quarter is primarily due to home delivery price increases in Dallas. In 2008 single copy prices increased in all three properties. The Dallas Morning News increased the single copy price of its Monday through Saturday editions from $0.75 to $1.00 earlier this month and we continue to monitor both home delivery and single copy pricing as price elasticity studies will help us determine further price changes in 2009. We continue to tighten the distribution footprints of our newspapers and improve circulation quality for our advertisers by reducing non-value added circulation like third party and bonus days. As of the September 2008 publishers statement, third party and bonus days accounted for only about one-half of one percent for both our weekday and Sunday circulation and we continue to reevaluate distribution footprints. For example in Riverside, The Press-Enterprise eliminated distribution to Palm Springs in the second quarter which improved EBITDA performance by approximately $600,000 for 2008. The Dallas Morning News and The Fort Worth Star Telegram have entered into a joint distribution agreement as of September to maximize operating efficiencies and improve delivery time in certain parts of each newspapers’ distribution area. The Morning News and the Star Telegram also began sharing some sports content with each other. The Morning News will provide coverage of Dallas Mavericks and Dallas Stars for both papers, and the Star Telegram will handle coverage of the Texas Rangers. AHC reduced newsprint consumption by 18% in 2008. Some of this improvement was achieved by combining or reducing the size of sections. For example at The Dallas Morning News, Monday, Tuesday, and Wednesday classified sections were integrated into the metro, sports day and business sections of the paper. The Dallas Morning News reduced the number of zoned additions it publishes from five to three during 2008 and The Press-Enterprise went from six to four thereby reducing press runs and simplifying daily composition requirements. We continue to monitor the number of days zoned additions are published. It is important to note that we continuously evaluate consumer and market research to determine what content is most valuable to our readers and changes in product mix are made only after careful consideration of brand equity and reader preferences. AHC’s participation in the Yahoo! Newspaper consortium continues to expand as we implement Yahoo’s behavioral targeting capabilities. In 2008 AHC generated $1.2 million in incremental revenue related to the Beta testing of Yahoo’s behavioral targeting capabilities with approximately 80% of that revenue generated by The Dallas Morning News, and the remainder by The Providence Journal and The Press-Enterprise. Among all newspaper consortium participants A.H. Belo ranked number one in development of auto revenue, and number in real estate revenue for 2008 testing elements of Yahoo’s behavioral targeting tools. The second phase of Yahoo’s behavioral targeting tools are APT, rolled out at The Press-Enterprise in November 2008, at The Dallas Morning News in December 2008, and at The Providence Journal in January 2009. A.H. Belo is the first member of the newspaper consortium to have all of its properties on the Yahoo APT platform. Given the current advertising trends are unlikely to improve in the near-term we continue to align AHC’s expense structure to revenue trends. I outlined several such initiatives in a letter to employees last month. The most significant is a further reduction in force across the company. Current revenue trends simply do not support or require the same number of people as we have previously employed. The reduction in force will impact approximately 500 employees at AHC’s newspapers and corporate and will be mostly completed by the end of the first quarter of 2009. We will provide an estimate of annualized savings and charges related to the reduction in force in a separate press release toward the end of March. Beyond headcount reductions additional cost cutting actions to improve the company’s profitability include a suspension of A.H. Belo’s savings plan match for 2009 effective on or about April 1, 2009. This will preserve about $5.5 million in cash on an annual basis. We’ve also revised the company’s wireless device policy which establishes a new single monthly reimbursement for designated employees of $35.00 per month, substantially below previous levels. And beginning May 1, monthly fees will be charged for parking and transit passes to employees in downtown Dallas. Combined wireless and transportation changes will generate about $720,000 in cash per year. On a larger scale additional measures are required to achieve financial stability and maintain operating flexibility. It is imperative that A.H. Belo get as far ahead of secular changes and uncertain macroeconomic conditions as possible. The Board approved my recommendation at its December meeting to engage Bain and Company to assist the management committee and The Board in this task. Bain began its current engagement in mid-December and with the management committee they are developing and evaluating further cost reductions, further focusing of news content, circulation price elasticity, sales force effectiveness, strategic choices in building A.H. Belo’s digital businesses, and in determining the best organizational structure for the company now that we are considerably smaller then prior to the spin off. We expect to complete this work by March 31. The key for all companies and certainly for A.H. Belo is to generate and preserve cash. We recently amended the company’s credit facility for the period from January 30, 2009 to April 30, 2011. The amended $50 million facility is subject to a borrowing base and will provide the working capital flexibility necessary for AHC to navigate the current economic environment and make the best strategic decisions. The company continues to aggressively market real estate owned outright by AHC in Providence and property owned jointly with Belo Corp. in downtown Dallas. Although the current state of the financial markets has severely constrained the number of real estate transactions being financed we are optimistic these properties have significant value but can be monetized when the credit markets improve. In the fourth quarter the company sold vacant real estate in Rockwell, Texas and Corona, California generating net proceeds of approximately $530,000. Alison will now provide more detail about our fourth quarter and full year financial results.
Alison Engel: Thank you Robert, AHC reported fourth quarter revenues of $160 million and a net loss of $33 million or $1.52 per share. Earnings per share included a $2.8 million tax benefit or $0.14 per share, a $1.5 million or $0.05 per share charge related to the reduction of force, a $14.1 million or $0.48 per share in noncash goodwill impairment at The Press-Enterprise, and $14 million or $0.47 per share in noncash future pension obligations. AHC reported full year revenues of $637 million and a net loss of $62 million or $3.04 per share. This includes $45 million or $1.53 per share in charges related to the voluntary severance offer, impairment of a 26-year-old printing press, reduction in force, goodwill impairment at Riverside, and noncash future pension obligations. The decline in advertising revenues for the newspaper industry and all media persists. A.H. Belo and all advertising based businesses faced an unexpectedly difficult business environment throughout 2008. Revenue trends remained weak in the fourth quarter as economic downturn became more severe. AHC’s advertising revenue in the fourth quarter including print and internet revenue declined 22% driven primarily by declines in classified revenue at The Dallas Morning News. Advertising revenue including print and internet revenue declined 19% for the full year 2008. Retail revenue declined 19% for the fourth quarter and 16% for the full year 2008. Total national revenue decreased 9.9% in the fourth quarter and 18% for the full year. Declines in national revenue at The Dallas Morning News and The Providence Journal partially offset increases in national revenue at The Press-Enterprise in the fourth quarter. Fourth quarter classified revenue dropped 44% versus 2007. Classified revenue at The Dallas Morning News was effected mostly by declines in employment followed by auto and real estate. The largest classified revenue declines at The Providence Journal and at The Press-Enterprise were in real estate. Classified revenue for the full year 2008 declined 36%. Turning to online revenue, online revenue contributed $11.1 million in the fourth quarter of 2008, 16% below the same period last year. For the full year 2008 online revenue contributed $47 million, 12% below the prior year. AHC’s online revenues comprise 6.9% and 7.4% of the companies total revenue for the fourth quarter and full year respectively. In the fourth quarter increases in the banners and contextual advertising categories partially offset declines in classified. For the full year 2008 increases in contextual advertising, national, and the auto classified categories partially offset declines in other classified categories. Fourth quarter unique users increased year over year by 37% and page views by 9% on AHC’s websites. In 2008 year over year unique users increased by 59% and page views by 11%. Video streams on AHC websites increased by 105% versus the same period last year in the fourth quarter. For the full year 2008 video streams increased by 77%. AHC’s non advertising revenue continued to be strong. Circulation and other revenue were up 12% and 16% respectively in the fourth quarter. For the full year 2008 circulation revenue increased 9.5% and other revenue increased 15%. Total consolidated operating expenses decreased 0.7% or $1.2 million in the fourth quarter despite the $1.5 million reduction in force cost and $14 million noncash future pension obligations. Improvements in fourth quarter consolidated operating expenses were driven by lower direct compensation and outside services. Newsprint expense was up slightly in the fourth quarter. For the full year 2008 consolidated operating expenses declined 2.7% or $18 million. Declines were driven by improvements in outside services, direct compensation, and newsprint. Despite increases in newsprint prices, newsprint expense declined 7.1% primarily driven by reductions in page volumes. Year to date we’ve eliminated $45 million in operating expenses excluding the 2008 voluntary severance program, reduction in force and noncash future pension obligations. Corporate and non operating expenses declined by $4.3 million and $11 million in the fourth quarter and full year 2008 respectively. Corporate and non operating expenses in the fourth quarter and full year results include $1.1 million for the allocated noncash future pension obligations. Because of AHC’s spin off in February 2008 full year 2007 corporate expenses are based on an allocated amount. Turning to EBITDA, AHC had consolidated EBITDA of $5.9 million excluding the $14 million noncash future pension obligations. For the full year 2008 AHC had consolidated EBITDA of $6.1 million excluding the future pension obligations. Aggregate newspaper EBITDA in the fourth quarter and for the full year 2008 was $21 million and $62 million respectively excluding the special items. Newspaper EBITDA margins excluding the special items was 13% and 10% respectively for the fourth quarter and full year 2008. Turning to the balance sheet total assets were $557.7 million as of December 31, 2008. Our cash balance was $9.9 million as of December 31. AHC did not incur additional debt in the fourth quarter. The company’s debt as of December 31, 2008 was $10 million and the company’s borrowings were incurred in the third quarter to fund costs associated with the voluntary severance program. AHC did not repurchase and shares in the fourth quarter and capital expenditures were $18 million for the full year 2008. As of December 31, 2008 A.H. Belo had approximately 2,950 full time and 400 part time employees. And now I’ll turn it back to Robert Decherd  for his final remarks.
Robert Decherd: Thank you Alison, as you can tell we’ve been busy in the last few weeks and we think we are making good progress in a very difficult operating environment. Our Board and management committee are intensely focused on taking the steps necessary to return A. H. Belo to profitability and we are actively and aggressively rethinking the company’s business model, just as every newspaper company and virtually every other American industry is doing. I remain optimistic that A.H. Belo has the means by which to work through this challenging period and as always we thank you for your support of The Board, management, and our entire employee cohort. We are ready to take questions.
Operator: (Operator Instructions) Your first question comes from the line of Jim Rummel – Unspecified Analyst
Jim Rummel: A couple of questions, which either is easier to answer, in terms of the asset backed loan can you identify which assets are backing that loan or if its easier which assets are excluded from collateralizing that loan.
Robert Decherd: The headline is substantially all of our major assets back up that loan and it is filed of course with the 8-K that we issued on the 30th or the 1st so in terms of the detail, its all in that filing but the headline is what I just said.
Jim Rummel: Secondly can you give some color to the cost of the Bain engagement.
Robert Decherd: Probably take a pass on that, it would be, the way to think of it is, it is within the cost profile that any of the big four or five consultants would charge. Its not millions of dollars but its an investment that’s for sure.
Jim Rummel: In terms of your comment that you are optimistic that the properties hold significant value that you own in the various markets, once the credit markets loosen, when this process began last year you put out in print a number that, of $35 million on kind of first rub with whatever data you got back from whomever and I’m wondering if you can in making that comment, can you underline the $35 million number that you once did, can you or flush out what your definition of optimistic is, or significant value so that we can have a sense of kind of what you’re learning internally against the number that you put out publically last year.
Robert Decherd: The number of course was first generated in July of 2008 and there’s been a substantial change in the market which I know is part of what you’re getting at, we have not made any effort to revalue these properties except through the anecdotal market information that we’re getting from CBRE and others who are working on this with us. When I said I’m optimistic you have to put into that calculus time as well as value and the condition of the credit markets. Clearly it is going to be awhile before anyone achieves what I would characterize as fair value for commercial real estate. Its possible that there may be some very specific circumstances that obtain in Providence that would enable us to do things before the markets recover but as we’re thinking of it now we want to be actively marketing the properties, holding our expectations for fair value how ever the market defines fair value going forward, and all I can say by reference to July of 2008 is that we estimated the numbers conservatively then knowing that real estate transactions are not worth anything until they close. Given what’s happened in the market we’re probably well [deserved] to have taken a conservative stance but this is not a 2009 event, if you’re building a business model around it, we would say today that its unlikely we would achieve those values this year.
Jim Rummel: Just two quick ones, Maribel you mentioned the number of employees at year end, I thought you said something around 2,000 or 1,500.
Alison Engel: It was 2,950 full time and 400 part time.
Jim Rummel: Any idea Robert where you kind of see that number going, it seems like an awful lot of people, do you have a sense of where that, let me put it this way, given the current structure of the business, i.e. delivering daily, etc. given the current platform, where can the employee number go to or what’s a range it can go to before you actually have to change the model, i.e. transferring one of the papers to digital only, or dropping daily delivery, or etc., where can that number go to within the current structure of the business.
Robert Decherd: First of all taking 500 employees from the business is an aggressive approach, we made a conscious decision to try to get ahead the revenue trends as I mentioned in my remarks and so when you put 500 in context of almost 3,000 full time employees that is clearly a significant reduction. There are different ways to get at that number, some of them, some is attrition but that’s not going to do much relative to the target of 500. So we’ll be taking out capabilities in different parts of each of the properties and at corporate but with a mind to continuing to operate the seven day business model that we have and working both cost reductions that are not related to people and taking this headcount out of the business. The thinking is that if we can do this successfully we’ve created some runway and we don’t have to take the risk of confusing or alienating our core readers who are accustomed to receiving a newspaper every day. Thankfully our markets as much pressure as they’re under, afford us the flexibility to make these kind of changes in a comparatively [facile], that’s not an option for some of our peer companies and its just much more difficult for them to take this amount of cost out. The $45 million we took out last year, obviously tracks us to meeting the $50 million target by the first quarter of this year so we’re continuing to take cost out and you’ll see some of that  when we report our first quarter numbers.
Operator: Your next question comes from the line of Barry Lucas – Gabelli & Company
Barry Lucas: Couple of housekeeping questions, I just want to make sure I got it right, 2,950 full time employees, so that would be, so the right number a year ago would have been 3,450.
Robert Decherd: A year ago it would have been probably at least that because we took 420 plus attrition out in 2008—
Alison Engel: Around 3,600. I don’t have a 10-K in front of me Barry.
Barry Lucas: Do we have a ballpark number for CapEx for 2009 from the $18 million in 2008.
Alison Engel: Its $13.5 million.
Barry Lucas: Just looking at that corporate number which continues to be a challenge, where do you think it can be this year and how do you get there?
Robert Decherd: We haven’t projected, or said publically where we think it will be but we have made good progress in taking costs out of our IT or technology operations through the actions that we’ve announced that effect all employees of course some of that will lower expense at corporate level as well not necessarily disproportionately but that will help us and we’ve basically wound down or eliminated all discretionary activity for all of the corporate departments so we’re really focused on the operating companies and maintaining our relationship to the core readers and our advertisers. I think probably we’ll just track that quarter to quarter for you as we go along rather then put something up on the board that we may not be able to realize on the same timing because there are timing issues associated with all of these potential cost reductions.
Barry Lucas: Last area if you could maybe provide a bit more color on the APT platform and Yahoo, if it was $1.8 million with the old behavioral add targeting on the Beta test, what can this mean.
Robert Decherd: Again we haven’t projected revenue targets but let me let Skip just talk for a minute about what we’re encouraged about as we roll it out and as I noted in my comments we are the first of the partners to have all of our newspapers up and running. Of course it’s a lot less challenging when you’ve got three newspapers versus 30 or 50 but we feel good about that. Let me ask him to give you a little context.
Skip Cass: By point of clarification, it was $1.2 million last year and really all of that or a good portion of that I think we said 80%, really came at The Dallas Morning News who Beta tested at a very high manual level the ability to target so let’s just say unlike today where we can actually go into what kind of automotive, automobile you may want to purchase we were just targeting auto dealers and using Yahoo’s inventory not our own. Now we’ve got the ability to use their software to really if you will target and segment our own customers on our own websites which in addition to giving us a lot more opportunity has a much more lucrative value because that’s content and ultimately inventory we’re creating on our own. So you’re going to have three newspapers versus one using a tool that has two three times the potential just in terms of the page views, we can develop for ourselves in addition to selling Yahoo’s inventory on a local basis. So we haven’t put out a number exactly what’s that’s going to be but certainly wouldn’t want to leave you with the impression we got most of the value that we’re going to get just in that $1.2 based on the Beta test that we did last year.
Barry Lucas: Maybe you could just comment on the management change at Yahoo and what that may or may not mean.
Robert Decherd: Let me tackle that one and then have Skip amplify as we say, of course we don’t know any better then the next partner but we’re encouraged that the investment Yahoo has in APT and generally in the consortium, is a source of future revenue that could be meaningful and the strategy that’s developed. There’s a meeting in Las Vegas with the leadership of the consortium and senior management of Yahoo next month. The fact that meeting is being held and put together even is encouraging to us. Its one of the first priorities on her watch to we’ll know soon would be my expectation but its just hard to imagine any scenario other then going forward with the investment that both sides have put in place. There’s fine tuning to do clearly, but we’re still encouraged and every signal we get from Yahoo is positive. I think that’s more then a fair statement.
Skip Cass: Yes and Carol is coming out in about three weeks to address the consortium I see as a relatively good sign. If this were two years ago I think that question would cause me some more concern but now that the investment has been made in the product, companies like ours essentially have it implemented, Yahoo has a revenue stream that they’re getting based on the relationship that we have and they need to use the exact same technology, [bout our own] sales staffs to sell behaviorally targeted advertising on their own sites. The upside to point out of the consortium knowing that we’re users of that technology and our paying to use that technology we didn’t pay to develop it but those costs presumably been [inaudible], which would suggest to me that that would not be the first place I’d look. Having said that I’ve received no communication one way or the other and I guess we’ll learn a lot more in March as to what their plans are.
Operator: Your next question comes from the line of Jack Ripstein - Potrero Capital Research
Jack Ripstein: I have two questions actually, one was on this $50 million cost reduction, just so I’m understanding this, if I took sort of a run rate OpEx of $694 million, and back out some of the charges are you taking about an OpEx line of $644 million for next year or is that being too literal in how that $50 million is going to flow.
Robert Decherd: I think that would be a little too literal because you’ve got calendar issues and timing associated with it, we made the statement in the middle to I’ll send end of the third quarter of last year that we expected, that we had this target for the first quarter of this year. Our comments were intended to suggest or indicate that we made a great deal of progress even before the end of the year. We’ve captured we think the remainder of those savings in the first quarter of 2009 and then you would have to run the timing and calendar scenarios going forward. So its not $50 million off the expense base in 2009  but its going to roll that way on an annualized basis.
Jack Ripstein: But the magnitude, directionally that kind of a number, let’s say fast forward out a year and everything was about the same, is that about right.
Robert Decherd: Yes, yes.
Jack Ripstein: Then lastly on this pension obligation that you spoke of, its not in cash but I assume at some point you’re going to have to contribute that dollar amount barring some heroic rebound in the stock market, right?
Robert Decherd: We’re all pulling for a heroic rebound in the stock market as is everyone on this call, the two factors that effect that obligation are true of any pension plan obviously. Just as a reminder the way this works, the plan we’re talking about is actually sponsored by Belo Corp. from which we were spun off. We have an agreement with Belo Corp. to fund 60% of future pension obligations. So it is technically not our plan but we do have that obligation and obviously effects many of our former and current employees. We froze our pension plan a number of years ago in the Belo Corp. environment and that has turned out to be a very positive thing as we think about these obligations. I mentioned there are two factors that go into determining the obligation, one is the value of the assets of the plan and the other is the discount rate. One has gone against every pension sponsor dramatically, namely the asset value in 2008 and more recently the discount rate went against us all at the end of the year. So when you run those calculations what you have to do is make an accrual for 2009 and we believe in this case its prudent for 2010 but no one is predicting what that number looks like at the end of 2010 or in the future years. There’s been some relief as you know from congress, there may be more in the offing but we’re not banking on that. And you are correct that at some point we and all pension plan participants in our case a participant not a sponsor, will have to put cash in unless there are dramatic changes in the market or dramatic changes in regulation.
Jack Ripstein: Is there a timetable at least on the other side of the equation in which is out of your control but very definite which is the [pass], I mean do you have any significant cash [paths] coming out of the pension fund, is there a big bubble of folks retiring, just a bit more color on the outflow as opposed to the inflow.
Robert Decherd: No that’s basically an actuarial calculation and our pension participant pool has been well defined ever since we froze the plan so we don’t have the risks some others might, big changes in what that cohort looks like.
Jack Ripstein: Okay so its funded in real dollars for the near-term and there’s no cash crunch that’s coming off of this pension obligation, its some sort of off balance sheet risk.
Robert Decherd: Not in 2009 but when this is calculated at the end of 2010 if things have not improved, a lot of companies are going to be making contributions to their plans under whatever set of rules the government has then in place. It may be the same as today, it may be modified to provide us all relief and I am sure that during 2009 you will see many companies that have ample cash reserves putting cash into these plans because your question about future scenarios is one we’re all concerned about.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Robert Decherd: We are hard after it. We like you are trying to figure out day to day what the most likely circumstances are for the next day but I think we’ve got the team focused on the right issues, we’re making a lot of progress and as I said in my comments or in the press release we do have certain advantages that are not available to all  newspaper companies and we’re trying to take full advantage of those. So we look forward to speaking to you after the first quarter and welcome questions in the meantime. Thank you.